Biz McShane: Good morning and thank you for joining the Regis Fourth Quarter 2023 Earnings Release Conference Call. All participants are in a listen-only mode. The prepared remarks by our President and Chief Executive Officer, Matthew Doctor, and Executive Vice President and Chief Financial Officer, Kersten Zupfer, are accompanied by slides to help participants follow along. After the prepared remarks, we will have time for questions. [Operator Instructions] I'm your host, Biz McShane, Vice President and Corporate Controller, and I would like to remind everyone that this conference is being recorded. Please be aware that the language on forward-looking statements included in our earnings release and 8-K filing also apply to our comments made on the call today. These documents, along with our presentation today, can be found on our website at www.regiscorp.com/investorrelations, along with a reconciliation of any non-GAAP financial measures mentioned on today's call, with our corresponding GAAP measures. With that, I will now turn the call over to Matt.
Matthew Doctor: Thank you, Biz, and good morning, everyone. Today's call marks the end of our fiscal year 2023. And with that I feel it's appropriate time to not only go through our Q4 and full year results, but also recap the key milestones we've achieved during the year. In addition to laying out the initiatives we are focused on as we move into fiscal 2024. During our Q4 call last year, I mentioned four themes that came to mind. One, the right team; two, business transformation; three, progress; and four, the creation and implementation of a path forward. As I reflect on our fiscal 2023, all of these came together and have led to the positive trends we are seeing in our business and the results we have delivered for the year. I mentioned this every call, and I'll mention it again. I continue to be very proud of what this team and our franchisees have achieved in what still is a relatively short period of time and in what remains a challenging time for our industry. Sitting here today, I believe those themes are still appropriate and remain in place as we continue to stabilize and grow the business. Now jumping right into our results for the quarter and full year. In Q4, same-store sales rose 2.5% versus the prior year's fourth quarter. For the full year, same-store sales were up 4.4% versus fiscal 2022. Adjusted Q4 EBITDA on a consolidated basis was $5.2 million compared to $1 million in the prior year's quarter, a $4.2 million improvement. For the fiscal year, adjusted EBITDA was $21 million. And spending a moment on our adjusted EBITDA, I want to emphasize the progress we have been making here. Our $21 million of adjusted EBITDA compares to $1.8 million loss in fiscal 2022 and a loss of $77 million in fiscal 2021. We have delivered positive adjusted EBITDA over all four of our fiscal 2023 quarters and have surpassed the expectations we laid out for the back half of the year during our Q2 call. The progress here is a testament to the efforts that we have made to stabilize the business and I believe we have largely done that at this point. Again a true reflection of the efforts of our team and our franchisees. We reported our fourth quarter in a row of positive GAAP operating income of $3.6 million versus an operating loss of $1.3 million in Q4 of fiscal '22. Operating income for the full year has improved by $37.7 million versus the prior year, at $8.8 million versus a loss of $28.9 million during fiscal 2022. This represents our strongest operating income result in six years. Another key milestone this quarter is we achieved positive operating cash flow of $0.5 million for the first time since Q4 2019, albeit minimal, and while this is a milestone worth pointing out. I want to level set that I'm not quite ready to declare this to be the turning point for every quarter moving forward as it pertains to cash flow. The higher interest rate environment, combined with the cash use associated with the transition from an operating company to a franchisor has and continues to put pressure on this figure. But getting back here has been a goal we have been working towards, and we will continue to work towards this becoming a trend with a focus on growing our profitability. Our liquidity position and capital structure remain essentially unchanged from last quarter as we ended the year with total liquidity of $43 million, which is similar to the end of Q3. There's yet another data point for the stabilization of our business. As this fee continues to remain stable versus the historical quarter-to-quarter dips, we've seen over the past three years. From a franchisee salon count perspective, 264 salons closed in Q4 and 616 closed for the full year. Putting our year-end franchisees salon count at 4,795 salons. These closures highlight the challenging times I mentioned that our industry still faces. Of the 616 full year closures, 258 were smart styles, 196 super cuts, and the remaining 162 from our portfolio brands. The average volumes of these closures were approximately $110,000, which makes it a hard case to justify keeping open. Given the current profitability drag and time and effort it would take for our franchisees and us to try to bring these back to viability. While the closures no doubt had an impact on Regis royalties, this is a profitability headwind that Regis has and we'll continue to seek to overcome through other avenues as we look to get back on the path of salon count growth. Just a final thought on our Q4 and fiscal 2023 figures. While these results represent strong progress overall, we are certainly not at our desired destination there remains to be work to be done to continue to grow our sales, profitability and salon count. Now beyond just recapping the financial results, I mentioned at the beginning of the call, there is a lot that we've accomplished throughout the year. And I believe this is the appropriate time to recap some of the key milestones we believed that not only played a role into contributing our financial results, but are also foundational to the strategies we have in place moving forward. I'll speak about each of these in the context of Regis strategy, which you are breaking down into four key pillars. And I know we've put up iterations of where these initiatives fall into the broader Regis business in the past. But simply put, our key components fit into one Regis is a corporate entity. And the next three being components of our operating business, consisting of two stylists, three customers and four, the combination of stylist and customers in our physical locations to create the salon experience. And from a Regis corporate perspective, there were some major achievements this year that contributed to our business. First and foremost, we amended and extended our credit agreement in Q1. We spoke a lot about addressing our capital structure, both leading up to and after the event and extend. So it's a bit hard to believe that this was only one year ago. But just as a reminder, at the time we had an approaching maturity date of March 2023 in our debt, and we were able to successfully extend that maturity out to August of 2025. This was a significant milestone as we were able to get this done right as the credit markets were starting to tighten, and the agreement was critical to ensure we have the proper time to continue executing on our plans. We continue to manage our G&A and on an adjusted basis, this came in $12.5 million lower than fiscal 2022. We've achieved these savings while simultaneously increasing the level of field support to franchisees through a reorganization of our field teams, an area that cannot be compromised as we look to grow the business as a franchisor. And we continued to wind down our corporate-owned locations, with 68 remaining at the end of our fiscal year, and we are still on track to have around 15 left at the end of fiscal 2024. Corporate-owned salon losses for the year came in at $1.8 million versus $9.5 million of losses in fiscal '22, a $7.7 million improvement. Moving to stylist retention and recruitment. In fiscal 2022 and '23, we placed a great deal of effort developing and enhancing programs to support our brands and franchisees to not only ensure that they're keeping the stylists currently in our system, but also that our brands are considered an attractive destination for those entering the industry and experienced stylists looking to switch jobs. Over the last year, we grew our field training team exponentially with over 700 new Supercuts technical trainers and 300 new design team members that support the non-Supercuts brands. We conceived up with our franchisees, planned and hosted three national stylist events. Our field-based trainers got back into our franchisee salons after years of strictly digital education, with over 4,800 in-salon visits and classes completed, and we rolled out salon manager-training modules, which we're consistently asked for by our franchisees. Now while it's still early, as these efforts require continued time and investment. The results show that salons with team members engaging with the national events and the field base programs we have implemented are demonstrating higher sales and stylist retention versus those without. From a customer marketing perspective, the focus is here, we're getting our ad funds and organization structurally set up to understand our customer base better, improve and strengthen our ability to communicate with them and seek to build more loyalty to our brands. During the year, we revamped and aligned with each brand on new ad fund splits and structures, enabling more local spend and control by our franchisees. We provided more tools and resources to our franchisees to be used to ensure they're taking advantage of national programs and spending locally as efficiently as possible. We advanced our CRM efforts with increasing messaging and have had more franchisees opt into offer-based touch points. We launched our Supercuts loyalty program, and this has been in the works for a while, and forms a key pillar of our go-forward retention strategy, not just for Supercuts, but for our other brands as well. We rolled this out to 30 locations in May and results while they're still early days have been encouraging, with average check among members greater than non-members and 45-day retention rate significantly higher the non-members as well. We will continue to seek to track this progress to determine which markets to launch next in advance of a larger scale national rollout. And in addition to the loyalty program, we launched a new Supercuts real smart hair campaign that has been playing across various digital channels and will form the basis for some new in-salon collateral. We are super excited about the potential of this campaign that can extend naturally across all channels and the various cohorts of people that we can lean into to match the seasonality of the year. We believe the messaging of practicality really is true to the Supercuts brand and the insights from people all around us in our everyday lives has potential to resonate strongly. And just 1 additional note on Supercuts and that brand's performance. Mentioned earlier that Regis, our brands are up 4.4% in same-store sales versus the prior year. The Supercuts brand, which represents our largest footprint, was up close to 7% on the year. And lastly regarding the in-salon experience. The major initiative here continues to be the enhancement and rollout of our technology partner Zenoti platform. This is the foundational focus we have been and currently are working on to strengthen the experience and connections between stylists and customers with our salons, which ultimately extends out to our franchisees and to Regis. Over the year, we worked closely with Zenoti and our franchisees throughout fiscal '23 to optimize the product for our brands. And we are at the point where there's clear benefits being demonstrated from being on Zenoti versus our other POS systems. Currently, around 740 salons are live on Zenoti, an additional 500 should be going live over the next few months, and there's a path to completion by the end of fiscal 2024. Now a key component of the deal is the migration payments beyond the $18 million we've received thus far. And I mentioned on our previous calls that the additional payments are expected to start towards the end of calendar 2023 and into the beginning of calendar 2024. I believe the timing is more likely to start early 2024 and realize during the back half of our fiscal year. This is, in fact, slower migration than desired initially expected and communicated. However, knowing what we know today, it was prudent to remain flexible to rest of the needs of our franchisees, and I want to thank Zenoti again for going above and beyond and being such a great constructive partner every step of the way. We still have no doubt that this was the right path and decision to make, and we look forward to being to the other side of migration. Now in addition to Zenoti, Regis has also developed and deployed an interactive voice response system that has gone live in around 400 salons. This is an example of value-added technology I mentioned on some previous calls, with the development footprint and team that we have retained. The system has been handling around 60% of the calls that otherwise would have gone to stylists, delivering further benefit stylist productivity. Now I am grateful for the opportunity to recap our fiscal 2023 and share with you the progress that we have made over the course of the year. Now at the same time, I also recognize that a bunch of list without results does not really mean much as we look towards the future. For fiscal '24, all of what I've mentioned continues to play a role, and we will look to build upon the path we have laid out. Revisiting those four strategic pillars of Regis, we have some simple and clear goals that get to the heart of the business and will deliver the most impact to sales and profitability. Starting at the Regis corporate level, the goal is continued financial stability and growing profitability. This will come primarily through managing G&A, exiting our corporate-owned locations and mitigating our bad debt exposure just that has been for the past few years. For stylists, we built a great set of support functions, processes and tools. The key will be continued utilization and optimization of those, in addition to the focus for the year of taking a bit of a higher-level view and addressing the brand level value propositions and marketing efforts through refreshed messaging, assets and collateral and activating them across various in-person and digital channels in an effort to grow the overall stylist population of our brands over time. On the customer side of the business, the recent sales performance has largely been driven by price while seeking stabilization of the stylist workforce. Our efforts to increase frequency and loyalty remains in place, but we have a renewed focus on traffic driving in order to maximize the capacity of the current and what hopefully will be growing stylist base. The key here will be testing, learning and deploying a bunch of ideas across our brands and roll out those that we find success with on a larger scale. Over the past year, we've gotten a lot better and faster at the speed in which we can get an idea out in the market, and we'll look to take advantage of that during fiscal 2024. Finally, on salon experience. As I mentioned earlier, the migration to Zenoti and locking the associated benefits continues to be a top priority. The platform is a gateway to salon experience and will enable us to receive and react to guest feedback in a more streamlined manner. In addition to Zenoti, the focus this year will be ensuring the compliance with key standards and the utilization of the tools that we have developed over the course of the past year. This effort is critical to bringing further uniformity to our franchise operations and further solidify our brands. Now wrapping up on our initiatives and efforts really want to emphasize the need for all of this to come together to drive our business versus There's any one singular item. Driving in customers alone without the proper experience won't lead to sustainable business. The proper experience is challenged without properly trained stylists and stylists for the customers won't lean to tenure. There is not one thing in isolation that can carry the business. And there are some constraints that we recognize that we're operating within. An ample of this or ad funds. Outside of Supercuts due to specific ad fund percentages and/or the regional nature of some of these brands, there are some limitations to the ad funds dollar themselves, placing further emphasis on the need for us to work closely with our franchisees and optimizing the resources that we do have, which has been an overarching theme as to how we've operated and approached the business over the last few years. Now I began today's call with a refresh of the themes that remain relevant from the opening of last year's call. And I'm going to close by referencing my closing remarks from that call a year ago when I said the following quote. I have the utmost confidence in our team to be able to deliver just as we have since the beginning of the year. Regis is in as strong of a position as we have been in quite some time, and we look forward to delivering strong EBITDA growth in fiscal year '23. I'm glad that we were able to prove those words right, as we did just that over the course of our fiscal year. And with the same team intact and the groundwork we have put into place over the last year, I look forward to continued progress in fiscal 2024. And with that, I will now turn the call over to Kersten to provide more detail on our Q4 and full year results. Kersten?
Kersten Zupfer: Thanks, Matt, and good morning. I echo Matt's comments, and I'm very pleased with our progress this year. We delivered operating profit of $8.8 million for the year. This is the first time since 2017, we've had a full year of profit from operations. Additionally, we used far less cash in operations than prior years and generated cash from operations in the fourth quarter. As Matt mentioned, we made a lot of progress in the year, and we expect to continue to progress in fiscal year 2024. Now I'll take you through the financial details, starting with revenue. Total revenue of $55.7 million in the quarter and $233.3 million for the year declined $10.4 million and $42.6 million year-over-year, respectively. This decline in revenue was expected into a decrease in our non-margin franchise rental income due to the closure of underperforming salons, exiting our product sales business, which we transitioned to BSG and the closure of underperforming company-owned salons. As a reminder, into the revenue streams that are declining due to the discontinuation of non-franchise businesses, included in our reported revenue is revenue associated with ad fund collections and franchise rental income for lease liabilities associated with leases where Regis is on the master lease. These revenue streams are offset by expenses and do not contribute to margin. Royalties, which is the main margin generating revenue stream associated with our franchise business declined approximately $0.5 million in Q4 when compared to the fourth quarter of the prior year due to the closure of underproven salons. For the fiscal year, royalty revenue was flat year-over-year. Turning to system-wide same-store sales comp and system-wide revenues, which we believe are better indicators of our sales performance and therefore, how we evaluate our progress for the year. System-wide same-store sales comps were positive 2.5% in the fourth quarter and positive 4.4% for the full year. However, system-wide sales were unchanged to prior year for the year and down slightly in the fourth quarter due to the closure of 653 salons, most of which were underperforming. Our salon base is smaller year-over-year, but the closures result in a stronger base of salons as we enter fiscal year 2024. We delivered GAAP operating profit of $3.6 million in the fourth quarter and $8.8 million for the full fiscal year compared to losses in both periods of fiscal year '22. The improvement reflects a lower G&A expense and the lapping of significant impairment charges incurred in the prior year and the continued wind down of loss generated generating company-owned salons. We have produced operating profit each quarter of this fiscal year, and we expect that trend to continue. On an adjusted basis, fourth quarter adjusted EBITDA was $5.2 million compared to $1 million in the prior year quarter. On a full year basis, adjusted EBITDA improved by $22.8 million to $21 million from a loss of $1.8 million in fiscal year 2022. The improvement in adjusted EBITDA is a result of our lower G&A structure and the exiting of loss-generating company-owned salons. On an adjusted basis, G&A was $11.7 million for the quarter, which is a $2.6 million improvement year-over-year. The improvement comes from our core franchise business. On a full year basis, adjusted G&A of $48.8 million improved by $12.5 million, of which $10.6 million of the improvement is from our core franchise business. As we continue to focus on controlling costs, we now expect our annual G&A to be in the range of $48 million to $52 million. Our core franchise business posted adjusted EBITDA of $5.5 million in the quarter, a $2.9 million improvement compared to a loss of $2.5 million in the prior year quarter. On a full year basis, franchise adjusted EBITDA improved $15.1 million to $22.8 million. The improvement in both periods is driven primarily by the rightsizing of our G&A structure over the past year and improved financial health of our franchisees, resulting in less bad debt expense. The company-owned segment recorded an adjusted EBITDA loss of $0.3 million in the quarter, which is a $1.3 million improvement from the same period last year. The improvement is primarily related to having fewer loss-generating company-owned salons in the current period. We expect losses associated with the company-owned segment to continue to decrease as we reduce the number of remaining salons through closures. By the third quarter of fiscal year 2024, we expect to just have a handful of salons. Turning to cash flows. In the fourth quarter, our operations provided approximately $0.5 million of cash flows, which is an improvement of $4.9 million compared to our cash use in prior year fourth quarter. This is our first quarter of positive cash from operations since fiscal year 2019. For the fiscal year, we used $7.9 million in cash from operations which is an improvement of $30.7 million compared to fiscal year '22. Cash flows from operations improved in both periods due to our lower cost structure. Looking ahead to the first quarter of our next fiscal year, we are not expecting to generate cash from operations. The first quarter includes cash outlays related to bonus payments and other annual prepayments such as foreign insurance. Overall, we expect to use less cash in fiscal year 2024 than we did in 2023. From a liquidity standpoint, we had $42.8 million of liquidity as of June 30th, 2023, which consists of $33.3 million of available revolver capacity and $9.5 million in cash. And as a reminder, we have approximately $400 million in lease liabilities on our balance sheet. But Regis is solely responsible for only $13.1 million related to our headquarters and company-owned salons. The rest of the liability is serviced by franchisees and includes liability related to assumed renewal periods that have not yet been exercised. This concludes my prepared remarks. I would like to thank you for your continued support and interest in Regis, and I will turn the call back to Biz, who will lead us through the Q&A.
A - Biz McShane: Thank you, Kersten. Our first question comes from Eric Beder of Small Cap Consumer Research. Go ahead, Eric. Eric, you might be muted. Please try again.
Eric Beder: Hello?
Matthew Doctor: Yeah, there you go.
Biz McShane: We got you.
Eric Beder: All right. We're good. Thank you. Congratulations on a year of significant progress.
Biz McShane: Thank you.
Eric Beder: Talk a little bit about the store closures for the franchisees. What do you foresee coming forward now that you've closed a lot of the very low productivity stores? And in the past, you've talked about the ability to help the franchisees kind of leverage those closures and shift stylists into other more productive stores? Is that continuing?
Matthew Doctor: Yes. So that's definitely a practice that we're continuing to kind of mention as each of these close. So we'll see what the impact of stylists and other locations in surrounding areas will be as time moves on. So do I think closures in '24 will be less than '23? Yes, I do. We had a large amount of SmartStyle lease end dates coming in '23 that we don't have in '24. So there was a number of things this year that led to that high closure amount. Do I think this is the end of kind of net salon closures, I don't think so. But I do not think it will be nearly as large as we've seen in this year. So the focus will continue to be, yes. Let's optimize that and see how that plays out and continue the best practices of shifting stylist to other salons where appropriate. And as I mentioned on the call in the remarks, we just have to continue to work to overcome this -- that's kind of been going around in the background and haven't stated it so on the knows, but that's what's going on. We've been aware of the headwinds. We're pulling some of the other levers so that while it is having an impact on royalties. We're still seeing our royalties and our sales kind of overcome a little bit sort of comp growth. We're overcoming that with profitability through the G&A and corporate location side. We're going to continue to have to do that and explore our ways to ensure that we're overcoming the headwind. But at the same time, I've kind of been hesitant in the past to say, all right, let's start focusing on aggressively growing store count. We need to stabilize the business, which we still need to do. We do have a lean team, and I've always been preaching focused. But do I think there is an appropriate time this year in '24 to start exploring a little bit more some of those ways that we can grow salon count in a meaningful and impactful manner, whether that be certain brands that have potential or certain geographies, whether domestically or international, I do. So I think whereas there hasn't been as much of an effort on salon count as it was before as we work to stabilize the business. This is something that's going to come a little more into view as we go forward.
Eric Beder: Excellent. Zenoti, you've obviously seen a nice ramp in Zenoti. Could you remind us once again what that enables you to do and what it will enable the franchisees to do when they integrate Zenoti in terms of their operations and linking it to your marketing and CRM efforts.
Matthew Doctor: Yes. Again, that's a good question. And there's make these broad statements in that we're seeing benefits of being on versus other point-of-sale systems. So I appreciate the question and I think it's time to go into a little bit more of not even what the future but what the realities are right now, and I'll kind of bucket it into buckets between marketing and a guest experience and even our franchisee experience. From a marketing perspective, we can really improve and we have highly customizable discrete dynamic guest targeting for our brands and owners to help bring back guests. We have multichannel communications within the system between e-mail, text messages, in addition, our apps, push notifications, integrated loyalty programs, as I mentioned, super-custom awards and other initiatives for our brands are enabled to the platform. Those are big things from a marketing perspective, a guest experience, there's better online queue support, you have self-check-in capabilities. We now have the ability to send reminders of like, hey, the queue is ready for new notifications, things that we haven't had in the past, even with the post visit feedback problems, I haven't had that in the past. Paying by the chair or by text, enabling further technology to permeate through salons, which could be differentiated and you're not seeing elsewhere. That's the benefit that can happen today. Owner experience, access any of your salons queues or operation remotely, really robust customizable reporting, guest tracking, employee management. I mentioned that feedback piece in guess feedback and start really utilizing that and operationalizing it within salons. So those are some things that are available right now, let alone what we can allot going forward and just a little bit of a -- so I'll stop there as I think that was a pretty decent amount. But yes, I mean, as I said, there's a path forward here. We've had to do a lot of work to ensure that we're getting to a point where I could have listed off everything I just listed. But now that, that's there, it's time to start really kind of pushing the migration a little harder. I think it's fair to say the product is in a really good place at this point in time. So looking forward to getting through that this year.
Eric Beder: Great. And it seems like the inflation has helped drive the business and it seems like that's slowing down a little bit. What is the opportunity when you look at it to -- I mean, I guess, is there the opportunity to increase the amount of visits to drive the traffic? And how do you look upon that? How big an opportunity is that? And how should we be thinking about that?
Matthew Doctor: Yes. That's another good question. That's right. As I mentioned, that has been what's been holding sales up in a declining traffic environment. And if I were to think about even I put out kind of four areas of focus, but there's really two for the year that we're really focused on. It's traffic driving and Zenoti. And I think there is a real ability to drive traffic into our salons. We have to figure out what we're going to be doing over the course in short order is figuring out what works, as I mentioned. So there's going to be a bunch of testing, learning, deploying on the fly here in order to kind of center on what those -- what works the best, testing various offers, various bounce backs, various messaging, various creative in various markets with various franchisees, but optimizing the salon staff that we have now that I think is pretty stable and has capacity is key. And I think that alone driving traffic into our salons optimizing our base has the greatest impact on sales, probably more than anything else at this point. So traffic driving is a huge initiative right now. To your point, I think the ability to continue to raise price, it's probably slowing down a little bit. And as I mentioned, everything having to come together, there is that fine line walking the quality and value equation here if we start pushing price up too much without the requisite experience and quality that's going to erode our value. So I think we're kind of hitting that line a little bit. Maybe there's some areas to go elsewhere, but to continue to ensure that we're driving traffic. But also at the same time, ensuring our salons are able to provide the proper experience is important as well. So I said it's not one thing, making sure they all come together. So people who we drive in are going to come back. But that being said, I do see a shift into increasing our customer accounts and a focus on finding out how to do that in an extremely impactful way in short order is really the focus from a marketing perspective this year.
Eric Beder: Great. And one last question. I remember the Zenoti payments are used to pay down debt. Or do you believe there will be any incremental free cash flow potentially in FY'24 to also pay down any of the debt? How should we be thinking about that?
Matthew Doctor: I think it will probably be minimal because, as I mentioned, we did have a little bit this year. It's going to depend on a number of factors. Profitability, interest rate environment kind of that legacy wind out, everything we spoke about. I don't want to get too aggressive on expectations here. So we'll set it as Zenoti, probably being the major component of that. And to the extent we can continue to grow the profitability will be a bigger piece, but I don't want to set the expectation that that's going to kind of overtake what the Zenoti payments will be at this point in time.
Eric Beder: Great. Good luck for the fiscal year.
Matthew Doctor: Thanks, Eric.
Biz McShane: Thank you, Eric. Those are all our questions for today. We thank you for joining our conference call and your interest in Regis. Have a great day.